Operator: Greetings, and welcome to the Rollins Inc. First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Joseph Calabrese. Thank you, and you may proceed, sir.
Joe Calabrese: Thank you, Claudia. By now, you should have all received a copy of the press release. However, if anyone is missing a copy, and would like to receive one, please contact our office at 212-827-3746, and we'll send you a release and make sure you're on the company's distribution list. Additionally, the call is being webcast at www.rollins.com, and a replay will be available for 180 days. The company is also offering investors a supporting slide presentation, which can be found on Rollins' website at www.rollins.com. We will be following that slide presentation on our call this morning, and encourage you to view that with us. We have included certain non-GAAP financial measures as part of our discussion this morning. The non-GAAP reconciliations are available in the appendix of today's presentation, as well as in our press release. The presentation and press release are available on our Investor Relations website. The company's earnings release discusses the business outlook and contains certain forward-looking statements. These particular forward-looking statements, and all other statements that have been made on this call, excluding historical facts, are subject to a number of risk and strategies and actual results made differ materially from any statement we make today. Please refer to yesterday's press release and the company's SEC filings, including the risk factors section of our Form 10-K for the year ended December 31, 2022, for more information, and the risk factors that could cause actual results to differ. On the line with me today and speaking are Jerry Gahlhoff Jr., President, and Chief Executive Officer; John Wilson, Vice Chairman; Ken Krause, Executive Vice President, Chief Financial Officer, and Treasurer. Management will make some opening remarks, and then we'll open the line for your questions. John, would you like to begin?
John Wilson: Yes, thank you Joe, and good morning. We appreciate all of you joining us for our first quarter 2023 earnings call. I'm pleased to report, Rollins delivered solid first quarter results, highlighted by revenue growth of over 11%, and earnings per share growth of 20%. I want to begin by welcoming P. Russell Hardin as Rollins newest board member. Russ was elected to our Board at our recent shareholder meeting, and has served as President of the Robert W. Woodruff Foundation since 2006. He serves as a Director of Genuine Parts Company, as well as a trustee of the Northwestern Mutual Company. Hardin practiced law with the firm of King & Spalding, and as a long-time resident of Atlanta, has served this community in ways too numerous to list. Please help me welcome Russ Hardin.  Now turning to the Fox Pest Control acquisition, I'm very excited about this recent event. Enjoying a strong reputation in the marketplace, we have long respected Fox's history of success. In fact, I have a relationship with one of their founders, Mike Romney, going back close to 20 years, as Mike began doing summer sales programs for Orkin prior to co-founding Fox. Fox Pest Control was formally established in 2012, initially marketing through the door-to-door sales effort in historically underserved pest control markets. Through consistent growth and expansion, Fox now provides general pest control services for homeowners from 32 locations in 13 States. Fox evolved in their growth strategies to include other streams, as now about a third of their customers are acquired through digital channels. Not only does Fox rank as the 13th largest pest management company, according to the PCT 100 rankings, Fox also received recognition in 2021 by Inc. Magazine as one of the fastest-growing private companies in America. In many of the markets they serve, Fox is a market leader with a great service reputation. I cannot stress enough what a great addition this is to our family of brands, and I'll now hand the call over to Jerry to recap Rollin's first quarter results, and talk about the transaction in greater detail.
Jerry Gahlhoff: Thank you, John, and thank you all for joining our call today. Our partnership with Fox was an 18-month process. As we worked on executing this transaction and learned more about the Fox business, we became increasingly impressed with their culture, their consistent and strong growth rates, and their unique operating model. In early April, I had the opportunity to visit with many of the fantastic team members at Fox, and was able to witness firsthand the deep pride they have in the Fox brand. Additionally, as Ken will cover in more detail later, we believe the financial benefits are very compelling. We expect the transaction to be accretive to earnings and cash flow in the first full year of ownership, and will provide meaningful long-term financial benefits as well. We also believe the complementary nature of their brand creates opportunities for enhancing Rollins's strategic platform for growth in the residential space. While still operating under the Fox Pest Control brand and being led by co-founders Mike Romney, and Bryant White, we see incredible potential for the teams at Fox and HomeTeam to learn and share with one another. There are multiple benefits to tying Fox closely with HomeTeam, who have also been utilizing door-to-door campaigns to activate Taexx customers in their predominantly residential business for over 20 years. Furthermore, this alliance will provide HomeTeam with an ability to scale markets faster while we provide the team at Fox with new service offerings and cross-sell opportunities along the way. We're also particularly excited about the strong alignment of their culture and the value the partnership creates for customers, team members, and to our shareholders. Fox has a passionate sense of community and a values-driven approach that consistently delivers quality service, coupled with the resilient track record of strong customer growth and solid employee retention. As we've demonstrated in the past, acquisitions are a key part of Rollins's growth strategy. Over the years, we've built a very successful playbook for their smooth transitions into our company, and we are extremely excited about our path ahead with Fox. In summary, we are confident that Fox's business perfectly aligns to our strategy for sustainable profitable growth, and I'm incredibly proud to add them to our impressive family of pest control brands.  Transitioning to our recent financial performance, I'm pleased to report that Rollins delivered solid first quarter results and realized strong year-over-year growth in many key performance areas. Ken will address the financials in more detail in a moment, but I'd like to highlight three key areas of progress in the quarter. First, we delivered 11% revenue growth. What was especially encouraging was our organic growth. Organic growth was more than 9% for the quarter, with strong growth across all major service lines. Secondly, margins were very healthy to start the year. We delivered approximately 32% incremental margins and grew GAAP earnings per share 20%. The focus on pricing, selling new business, and productivity is paying off. On our year-end call, we discussed our intention to initiate an earlier price increase this year, and that certainly helped us, particularly in March. We'll continue to focus on this area to ensure that we are effectively pricing the value of our essential services. And last, but not least, we reported strong growth and cash flow for the quarter. We remain well positioned to continue to invest in acquisitions, and maintain a balanced capital allocation strategy. As we move into spring and summer months, we expect a good business environment and strong demand for our services when you consider recent weather patterns resulting in wet outdoor conditions. April is off to a favorable start, and our teams in the field are well staffed and trained as we head into our traditional peak season. We're also continuing to add to our sales force and emphasizing bundling of multiple services like pest and mosquito through our call center operations. I want to emphasize how pleased we are with Rollins’s strong first quarter performance. And looking ahead, we remain well positioned for 2023 and confident in our ability to continue to drive strong operating results.  I'll now turn the call over to Ken.
Ken Krause: Thank you, Jerry, and good morning, everyone. The team delivered a strong start to the year. Let me begin with a few financial highlights for the first quarter of 2023. First, we delivered over 11% revenue growth in the first quarter, with robust growth across all our service offerings. Acquisitions drove approximately 2% of the total revenue growth in the quarter. We expect to see meaningful improvement in growth from acquisitions for the remainder of the year, stemming from the acquisition of Fox we announced earlier this month. Second, our continued emphasis on margin improvements drove 130 basis-point improvement in EBITDA margins in the quarter. I will speak about incremental margins shortly, but as Jerry indicated, they were a bright spot. GAAP earnings per share increased 20% to $0.18 per share. And last, but not least, we delivered a 15% improvement in operating cash flow, and a 17% improvement in free cash flow. Let's look at the quarterly results in more detail. Starting off with revenue, it was $658 million, up just over 11% on a reported basis. Currencies reduced quarterly revenue growth by 60 basis points on the stronger dollar, notably versus the Canadian dollar, the British pound, and the Australian dollar.  Turning to profitability, we realized 30 basis points improvement in gross profit margin. Gross profit margins were 50.3% of revenue in the quarter. We saw good performance on gross profit, as pricing more than offset inflationary pressures. We were more consistent in raising prices across all of our brands this year. We discussed our intent to do this on our year-end call, and it was good to see the impact of the steps we took on revenue and profitability. Looking at four major buckets of costs, people, fleet, materials and supplies, and insurance and claims. These comprise approximately 90% of cost of services in the quarter. We saw improvements in margins associated with people costs, as well as fleet costs. Material and supplies were neutral to margins, while insurance and claims were a headwind to margins. We delivered improvements in SG&A expense as well. SG&A improved 40 basis points when stated as a percentage of revenue during the most recent quarter. Let's dive into the major categories of SG&A a bit more. People costs, advertising and selling costs, and insurance and claims, make up a majority of our spend in SG&A. Margins benefited in the people cost area. Advertising and selling-related costs were relatively neutral to margins, while insurance and claims was a headwind to margins. As the case in the prior year, we expect to see SG&A tick up slightly in Q2 as we invest more heavily in customer acquisition-related costs across the business during the start of our more busy season in the second quarter. We do not have any non-GAAP adjustments to operating income or EBITDA this year. GAAP operating income was $112 million or 17.1% of revenue, increasing 130 basis points from the same quarter a year ago. EBITDA margin was 21.2%, up a strong 130 basis points over the prior year EBITDA margin. As I have consistently indicated, I like to look at the business using incremental margins or meaning, what percent of every additional dollar of revenue growth is converted to EBITDA. On an as-reported basis, we generated incremental margins of approximately 32% in the most recent period. Quarterly GAAP net income was $88 million or $0.18 in an earnings per share, increasing from $0.15 per share in the same period a year ago.  Turning to cash flow and the balance sheet, quarterly free cash flow was very strong in the quarter. We generated $93 million of free cash flow on $88 million of earnings. Free cash flow increased by over 17% in the most recent period. Cash flow conversion, the percent of income that was turned into cash, was also a bright spot, coming in and above 100% for the quarter. We made acquisitions totaling $15 million, and we paid $64 million in dividends. Debt remains negligible, and debt to EBITDA is well below 1x on a gross level. We closed and announced the Fox acquisition earlier in April. We are excited about the strategic growth opportunities this acquisition will provide us. A few financial details. We expect this acquisition to add between $90 million and $100 million of revenue in 2023. The acquisition should add $18 million to $22 million of EBITDA for the remainder of the year. We used a combination of existing cash balances and borrowings to pay for this strategic acquisition. We continue to be very active in pursuing additional acquisition opportunities. We expect the Fox acquisition to be accretive to earnings in the first full year, with more meaningful contributions to EPS during the latter part of this year and into the first quarter of next year. We are in the process of finalizing our purchase accounting, and we'll provide an update on this on our Q2 call in July after we complete that process. During the quarter, we refinanced our credit facilities that were set to expire in April of 2024. We closed on our new facility before the banking crisis in March, and we were able to successfully secure a more modernized facility, that, in addition to other benefits, provides us with the opportunity to incorporate sustainability metrics into the revolver in the future. Additionally, we conducted an RFP for our external audit service provider, and engaged Deloitte as our new auditor in place of Grant Thornton, who had been our auditor for the previous 19 years. We are making good progress on a number of general financial housekeeping issues that will help position us best as we continue to grow our business. We remain very well positioned to continue to fund our dividend and grow through acquisitions. In summary, our quarter performance continues to demonstrate the strength of our business model and the engagement level of our team. We remain focused on providing our customers with the best customer experience and driving growth through acquisition. Organic demand remains robust, and we are very well positioned to continue to use our strong balance sheet to grow our business. The acquisition pipeline is healthy, and our strong cash flow and balance sheet positions us well to invest in our business. We continue to focus on execution and driving long-term profitable growth for our shareholders.  With that, I'll turn the call back over to Jerry. 
Jerry Gahlhoff: Thank you, Ken. We are happy to take any questions at this time.
Operator: Thank you very much. [Operator Instructions] The first question comes from Tim Mulrooney from William Blair. Please proceed with your question. Tim.
Tim Mulrooney: Jerry, John, Ken, good morning. Thanks for taking my questions. I was going to ask about the strategic rationale on Fox, but you guys did a great job about that in the prepared remarks. So, I think I'm going to skip that and just jump to the strong organic growth. The commercial pest business, that organic growth was basically double what we were expecting in the first quarter, and that's a significant margin of error, particularly for a predictable business like yours. So, is there anything you can highlight here? Large customer wins, new programs you've established, a pick-up in cross-selling, anything you can highlight as what contributed to that unexpected strength in that commercial piece?
Jerry Gahlhoff: Tim, this is Jerry. To me, it's pretty simple. It's about the investments we've made in hiring and staffing on the commercial side, the commercial front with our commercial account managers. We have a considerably larger staff than we did even a year ago and far more than we did two years ago. So, their efforts feed on the Street every single day. Bringing new business in at the volume they're bringing in, that's what's making the difference. It's not about individual wins or big customers or anything like that, it's the collective efforts of everything that they've done.
Tim Mulrooney: Okay. Sounds broad-based. Thank you. And then just switching gears from organic growth to capital allocation, I mean, now that you've already spent more than $300 million already in 2023, should we expect a slowdown in M&A spend for the remainder of the year? Or are we still going to see you acquire 30 to 40 bolt-ons that you normally do in a given year? And can you also discuss your plans for that leverage ratio? I mean, do you intend to drive it back to zero over the next several years like you typically do, or might we - are we potentially looking at a different capital structure at Rollins on a go-forward basis? Thank you.
Jerry Gahlhoff: Yes, so, Tim, this is Jerry. I'll handle the first part of that. We'll continue to look for tuck-in acquisitions, bolt-on acquisitions. We'll continue that path, and of course, continue to evaluate even larger acquisitions if they're there for us to get and the timing is right. But at the same time, we're also fairly cautious. We like to ensure that what we've - the most recent deal is handled well and our time and attention and focus is put on that to make sure that goes smoothly, that transition goes smoothly. We don't want to jump in anything with too much of a distraction for our team or for them in the short run. So, we're probably a little bit cautious there on really large deals in the very short term, but we'll continue to do the bolt-ons. And I'll let Ken address the question about capital. 
Ken Krause: Sure. Just adding on to what Jerry had mentioned, the integration efforts are certainly really important to us. And so, we want to make sure that we integrate these businesses as much as we can, while not disrupting the customer-facing aspect of these businesses, which are so strong. From a debt to EBITDA perspective, Tim, I believe you were asking, when we look at our capital structure, we have an incredibly strong balance sheet. It does not mean that we're going to lever up two or three times to go after transformational acquisitions. We, quite frankly, don't need to. The business is so strong, but what we will do is use our balance sheet in a strategic manner to grow this business. And so, that's the focus. I can't commit to a debt to EBITDA leverage ratio, but what I can tell you is, we will remain very much investment grade. We will very much remain to the playbook that we've executed for a very long time, which has certainly paid off for our investors.
Operator: Thank you. The next question comes from Stephanie Moore from Jefferies. Please proceed with your question, Stephanie.
Harold Antor: Good morning. This is Harold Antor on for Stephanie Moore. Last quarter, I know you reduced marketing spend for the quarter year-over-year. How did marketing spend track this quarter and how is it tracking for 2Q ‘23? Thank you.
Ken Krause: Thank you, Harold. I appreciate the question. This is Ken. I had mentioned in my prepared comments that advertising and marketing-related costs were relatively neutral to margins. So, that means that we were spending at just about the rate of growth of revenue in the first quarter. With that said, as we enter the second quarter, we are continuing to ramp up our investment in customer acquisition-related cost. And so, as we go into the second quarter, it's important for us to procure those new customers, which have an incredibly valuable long-term relationship with our business. As you know, approximately 80% of our business is recurring. And so, it's important for us to go after and get those new customers into the fold. And so, we'll continue to tick that up in the second quarter, as we have in past years. And so, I think that's an important point to remember as you think about modeling out, say, the second and third quarter of the year.
Harold Antor: Thank you. That'll be all.
Operator: Thank you. The next question comes from David Paige from RBC. Please proceed with your question, David.
David Paige: Hi, good morning. Thank you for taking my call. I'm actually on for Ashish Sabadra at RBC. You mentioned Fox Pest Control, about one-third of the customers are acquired through digital channels. Do you have an outlook for the customer acquisition through digital channels post fully integrated Fox and maybe at HomeTeam, and then overall Rollins? Thank you.
Jerry Gahlhoff: I don't know that we've gotten that deep into the analysis. We want Fox to - we want to make for a smooth transition, have Fox settled into what they're doing. Certainly, they have - the team at Fox has had a - themselves gone through this transition over time, ramping up on the digital side. And we’ll help them and continue to support their efforts to do that, give them some of our expertise and knowledge along the way to help them mature in that area and convert leads to sales and starts and those types of things that we feel like we can help them with over time. But at this point, I wouldn't give you any insight in terms of long-term what that may look like a year from now or two years from now. It’s still premature
Ken Krause: What I would add to that, Jerry, is that Fox does a really exceptional job in their marketing efforts, and there might be an opportunity to leverage Fox and the Rollins family of brands. And so, I think that's really important to think about as you go forward. They do a really good job, and we certainly want to leverage all the work that they do across their business to benefit us through this combination.
David Paige: Thank you.
Operator: Thank you. The next question comes from Seth Weber from Wells Fargo. Please proceed with your question, Seth.
Unidentified Analyst: Hi. This is actually John filling in for Seth. Congratulations on the strong quarter. Just maybe quickly on the insurance and claims, could you give us some more color on really kind of how the headwind progressed in the quarter, as well as how we should think about the cost going forward this year? Thanks.
Ken Krause: Certainly, can do that for you, and appreciate the comments. Insurance and claims has been a bit of a headwind here for a period of time, I believe going back to last year. In the third quarter, we talked about that. This year, when we look at the experience in insurance and claims, there's two aspects to that experience. One are just higher insurance premiums. As you know, we had poor experience last year. And so, unfortunately, we saw that come through with higher insurance premiums in the first quarter. That'll carry through for the remainder of the year. The second part of it is, we continue to see just some unfavorable experience in that area. We're ramping up our focus on behavioral-based safety across the company, and ensuring that we're making the right investments in the areas that'll help improve our performance in that area. But it's an area of focus for the company, and we continue to focus on driving some improvements. Unfortunately, we do feel the negative impact of a tighter insurance market, however.
Unidentified Analyst: Got it. That's great color. Thank you. And maybe quickly, just as we think about the cadence of residential, especially with advertising and customer acquisition spend ramping in the second quarter for the kind of peak season, can you just give us a sense at a high level how you're thinking about the kind of pacing of residential? And would it be fair to assume we could kind of see an acceleration from these levels, or are you thinking more of a kind of steady-state, high single-digit on an organic basis? Thanks.
Ken Krause: It's hard to provide an estimate on that as we think about the next quarter or two. However, we feel like the investments we're making in our people, in our technicians and our sales folks, the focus we're making on cross-selling and driving cross-sell and a wider share of wallet with each and every individual customer, is paying off. And we feel very optimistic and bullish about our opportunity to continue to grow our position with our really important residential customers into the future.
Jerry Gahlhoff: Yes, this is Jerry. I would add, we're in a really good position to take advantage of strong demand in the marketplace as it's there. So, we feel strong about our position to be able to capitalize on the potential for growth in the market, so.
Operator: [Operator instructions] The next question comes from Grant Slade from Morningstar. Please proceed with your question, Grant.
Grant Slade: Hi, Jerry. Hi, Ken. Thank you both very much for the additional detail on the Fox acquisition. It's very helpful. Just a point of clarification, however, if I may. I was just curious, the $18 million to $22 million in EBITDA contribution for this year, does that include the full extent of cost synergies that you're expecting to realize from the deal? Or are there perhaps further synergies we should be expecting in 2024 or later? And I guess if so, the quantum of those and the timing would be helpful, if you're able to share that detail with us.
Jerry Gahlhoff: Yes, thank you for the question. We feel like that's - when we think about synergies and we think about integration as we started the call, we certainly are taking a pragmatic approach with respect to synergies and synergy capture. We do think that this business will be accretive to our margins in the next two to three years. But the first year is all about getting in and trying to understand what makes the business so valuable. We don't want to move too quickly, but we also don't want to move too slowly. But we do feel like that $18 million to $22 million is our best expectation or estimate of what we can deliver on the acquisition this year.
Grant Slade: Great. Thank you very much.
Operator: Thank you. The next question comes from Aadit Shrestha from Stifel. Please proceed with your question, Aadit.
Aadit Shrestha: Hi, good morning. This is Aadit from Stifel. Thank you for taking my questions, and congratulations on the strong quarter. So, my first question is just really the Fox Pest acquisition. How should the annual $90 million to $ 100 million in sales, how should that be allocated across the lines of businesses? And what are the drivers that would get you to $100 million versus that low end of $90 million? What are you actually building in?
Jerry Gahlhoff: Why don't you handle this, Ken? 
Ken Krause: Sure. Yes. And so, when we look at that business, the breakdown is highly focused on residential. A large percentage of that business is resi sector. And so, that'll come through our residential segment of our business. We feel like that $90 million to $100 million would probably come into our business very similarly to how our business is reported. So, Q2, you'll see a ramping from Q1, and then Q3 you'll see a further ramping. That's just the seasonality of our business. We feel like there's opportunities to drive some outsized growth there, but I also feel like this $90 million to $100 million is a very realistic estimate, and is reflective of the growth trajectory, strong growth trajectory that the business is already on. And so, we feel like it's very realistic in achieving that $90 million to $100 million this year as we think about the remainder of the year.
John Wilson: Ken, if I may add, this is John Wilson, but if I may add, retention is critical. And so, that's why with these acquisitions, we don't go into looking to rock their world and go so carefully on the integration and/or assimilation. But Fox continuing their current path on the way they retain their customers and retain their employees, which is important to keep in those customers, will determine whether we get to the $100 million versus the $90 million.
Aadit Shrestha: All right. Thank you for that. And I have a follow-up regarding incremental margins, pretty healthy, 32%. How should we think about it for the remain of the year? Can you maybe exceed that 32% with sort of the pricing actions and the cost-cutting initiatives that you've put in? Plus like, what's the impact of Fox Pest on that?
Ken Krause: Certainly. Thanks for the question. If you look at the last nine months, the last three quarters, if you will, going back to the second half of last year, we've consistently delivered an incremental margin that's approaching 30%. So, we feel like we're positioned very well to deliver that 30% sort of incremental margin as we move forward. There's always challenges. There’s always puts, and there's takes, and there might be one quarter where you might be below that, but you might have one quarter where you exceed that. As I said in my prepared comments, the second quarter, you're going to see a little bit more investment in customer acquisition costs. We see an opportunity to go after and get customers that are going to create long-term value for our business. And so, you'll probably see a little bit more investment, a little heavier investment come through in that area as we think about the second quarter, but we feel very good about long-term value creation from those customers that will help us deliver that incremental margin profile of 30 plus percent.
Operator: Thank you very much. There are no further questions at this time. I'd like to turn the floor back to management for closing remarks. Thank you.
Jerry Gahlhoff: Well, thanks, everyone, for joining our call today. We look forward to giving you an update at the end of the second quarter on our next call. We'll see you then. Thank you.
Operator: Thank you very much. Ladies and gentlemen, that does conclude today's conference. You may disconnect your lines at this time, and thank you very much for your participation.